Operator: Greetings, and welcome to Kornit Digital's Second Quarter 2023 Earnings Conference Call. As a reminder, this call is being recorded. I would now like to turn the conference over to our host Mr. Andrew G. Backman, Global Head of Investor Relations for Kornit Digital. Mr. Backman you may begin.
Andrew Backman: Thank you, operator. Good day to everyone and welcome to Kornit Digital's second quarter 2023 earnings conference call. Joining me today are Chief Executive Officer, Ronen Samuel; Lauri Hanover, Kornit's Chief Financial Officer; and Amir Shaked-Mandel, EVP of Corporate Development. For today's call, Ronen will provide comments on the second quarter 2023. Lauri will then review the second quarter numbers and provide our third quarter outlook, before we open it up for Q&A. Before we begin, I would like to remind you that forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and other US securities laws will be made on this call. These forward-looking statements include, but are not limited to, statements relating to the company's plans, strategies, projected results of operations or financial condition and all statements that address developments that the company expects will occur in the future. Forward-looking statements are subject to known and unknown risks and uncertainties that could cause results to differ materially from those implied by forward-looking statements. I encourage you to review the company's filings with the Securities and Exchange Commission, including the company's annual report on Form 20-F filed which was filed with the Securities Exchange Commission on March 30, 2023, which identifies specific risk factors that could cause actual results to differ materially. Any forward-looking statements are made concurrently and the company undertakes no obligation to publicly update any forward-looking statements, except as required by law. Additionally, the company will be making reference to certain non-GAAP financial measurements on this call. The reconciliation of these non-GAAP measures to the most directly comparable GAAP measures can be found in our earnings press release, which is published today, which is also posted on the company's Investor Relations website. At this time, I would like to turn the call over to Ronen. Ronen?
Ronen Samuel: Thanks, Andy. And thanks to everyone for joining us on today's call. Earlier today, we reported second quarter revenues of $56.2 million in a with the guidance we provided in May, which as a reminder, included the impact from the fair value of issues warrants. During the quarter, impression grew at the double digit pace year-over-year for the second consecutive quarter, driving a steady improvement in capacity utilization. Consumable revenue grew at a strong double digit rate across our customer segments, including key strategic accounts and throughout all our operating regions. So far in the third quarter impression growth is again on pace to increase at a double digit rate year-over-year which gives us confidence in solid consumable growth for the second half of the year. Our services business also continues to demonstrate exceptional revenue growth during the second quarter. And so far during the third quarter as our customers actively upgrade and transition to our MAX technology. We are very pleased with the customer feedback we have received on our MAX technology anticipated additional upgrades orders during the second half of this year, and throughout 2024. Along this year, services have improved considerably, both in terms of revenue generation and an increase operating efficiencies. System sales volumes remained soft during the quarter, mainly due to continued challenges in capital equipment spending. And as our customized design customers continue to walk through excess capacity. While we anticipate the prevailing softness in system sales volumes to continue in the short term. We have implemented strategic measures to attract new customers including brands, retailers, and digital platforms. Additionally, we are targeting new growth regions within key textile production hubs to diversify our customer base and establish a healthy pipeline for 2024 and beyond. In addition to diversifying our customer base and entering new markets, we have taken various actions to increase efficiencies throughout our operation. Based on our progress to date, we currently expect to report breakeven on adjusted EBITDA basis for the fourth quarter of this year, even at the quarterly revenue run rate in the mid $60 million range due to a favorable sales mix of higher margin consumables, and quarterly OpEx in the low to mid $30 million range. We are also aiming to deliver profitable growth for the full year 2024. As a result of our focused R&D ,marketing and other efforts, we had a hugely successful ITMA trade shows in Milan. We had a very high customer engagements with new customers from key textile regions such an India, China, Turkey, Morocco, and from LATAM countries such as Argentina, Brazil and Mexico. We also secured a high number of quality leads and sales orders for both direct-to-fabric and direct- to-garment systems. For example, at ITMA, we signed the deal with one of the top textile manufacturers in India, which we are planning to deliver in the third quarter. This new relationship opens up a new market for us in India, a market we believe is the potential to meaningfully grow over the next several years. Approximately 60% deal signed, were from net new customer, opening the door for additional systems, consumables, and services sales, providing us with healthy pipeline for 2024 and beyond. The level of energy and innovation Kornit brought to ITMA was incredible with hundreds of customers and prospects providing fabulous feedback for our portfolio. We also unveil our new Apollo high-throughput platform and secure several new orders. We expect to recognize revenues for the Apollo in the first quarter of 2024 and are currently focused on building a substantial order backlog for the full year. During the second quarter, we install our first beta system in the US, which is now up and running. And we are in the process of installing the second beta in this region. As we have stated previously, the Apollo platform has the potential to provide us with annual consumable and services revenue of approximately $1 million per system once installed and running at high utilization rates. In summary, we've built solid foundation for future growth and Kornit’s long term growth drivers remain firmly intact, a view reinforced by our recent experience at ITMA. We have made substantial progress throughout the first half of this year, as evidenced by our successful introduction of new technologies and solutions. Our MAX platform has been well received by the market, becoming the new standard in the market, our quality of prints, XDi capabilities, and our ability to sustainably print white on dark fabrics have opened up new markets and driven increased customer interest and engagements. As a result, we continue to diversify our business and bolster our pipeline. We have also materially adjusted our cost structure and operation, reallocating resources to further enable growth engines, such as launching the Apollo platform and capitalizing on growth opportunities in new markets to our direct-to-fabric business. We remain confident that our strategy, product roadmap and solid balance sheet position us well to generate meaningful long-term growth. On a final note, this morning, we issue our third Impact Report, which highlights our activities and the progress we made on Kornit’s long-term impact strategy demonstrating our commitment to a more sustainable fashion and textile industry. With that, let me turn the call over to Lauri for closer look to our second quarter financial and third quarter guidance. Lauri?
Lauri Hanover: Thank you, Ronen and good day to everyone. As Ronen mentioned, second quarter revenues were $56.2 million in line with the guidance range we provided in May. We experienced strong double digit year-over-year revenue growth from both consumables and services. Yet as expected, meaningfully lower year-over-year system sales drove the low single digit decline in total revenues as compared with the same period last year. In the Americas, year-over-year growth was attributable to a double digit increase in consumables across strategic accounts. And again, a strong quarter of services growth contribution due mainly to MAX upgrades. In EMEA, while consumables growth was robust due to a larger installed base and increased usage, the year-over-year decline was driven by lower system sales as customers continued to encounter financing challenges. We continue to explore ways to support qualified buyers to secure financing and now have a number of third party financing partners lined up. We continue to seek additional partners who understand our business, and how the company solutions help our customers. The APAC region also experienced healthy consumables and services growth as compared with the same period last year. As Ronen said, we continue to develop a meaningful pipeline of long term growth opportunities in this region, especially in key textile producing countries such as India and China. Moving to margins, non-GAAP gross margin was 36.1% compared with 38.6% in the same period last year, lower system sales volumes drove the year-over-year decline in gross margin even as higher margin consumables grew nicely. And as the profitability of services meaningfully improved. We continue to expect gross margin improvement throughout the balance of this year, given the historical cadence of consumables as a percentage of sales being progressively higher in the third and fourth quarters. Turning to expenses. Total second quarter non-GAAP operating expenses were $34.1 million down approximately 16% from $40.7 million in the same period last year. The year-over-year decline primarily reflects the impact of our previously completed workforce reductions and lower marketing spend. As a result, adjusted EBITDA loss for the second quarter of 2023 was $10.7 million, an improvement is compared with adjusted EBITDA loss of $15.7 million in the same period last year. Adjusted EBITDA margin for the second quarter of 2023 was negative 19%. Again, in line with the guidance range we provided in May. Our cash balance, including bank deposits and marketable securities, at quarter end was approximately $592 million. Cash used in operations during the second quarter was $15.5 million, driven primarily by the operating loss and changes in working capital. Accounts receivable increase due to the timing of collections, as well as a higher balance associated with extended payment terms to select customers while inventories declined sequentially. We continue to remain focused on improving working capital to drive cash conversion. Since the beginning of the year, we have repurchased approximately 938,000 shares under our share repurchase program for an aggregate amount of $21.8 million, resulting in an average price paid per share of $23.20. The initial six months court approved period for the company's share repurchase program of up to $75 million expired on June 15. We have applied for and received a new approval from the Israeli court covering the unused balance of our previously authorized share repurchase program for an additional six month period. Given our strong balance sheet, we continue to believe that we can opportunistically repurchase shares without impacting our ability to execute the company's growth initiatives. Turning to third quarter guidance, we currently expect revenues for the third quarter of 2023 to be between $58 million and $62 million. And adjusted EBITDA margins to be in the negative 6% to negative 13% range. As a reminder, the guidance for revenue and adjusted EBITDA margin includes the impact of the noncash expense associated with the fair value of the company's warrants to our largest global strategic account. As Ronen mentioned, we currently expect to approach breakeven on an adjusted EBITDA basis for the fourth quarter. And before I hand it back to Ronen, I want to announce that Andy Backman, our Global Head of Investor Relations will be leaving Kornit at the end of this month to pursue a new opportunity. Since joining Kornit, Andy has played a pivotal role in leading and transforming our Investor Relations program, establishing it as a world class program and operation. He will be greatly missed and we thank him for all his many accomplishments and contributions to the company and wish him only the best in his new endeavor. We are also excited to announce that Jared Maymon, who was here with us today in Israel will be assuming the role of Head of Investor Relations. Jared comes to us from Berenberg Capital Markets, where he covered Kornit as a Sell-Side Analyst for the past two years. Jared, welcome aboard and we all look forward to working with you in [inaudible] With that I would like to turn it back over to Ronen to open the call up for Q&A. Ronen?
Ronen Samuel: Thank you, Lauri. Operator, we are ready for the Q&A session.
Operator: [Operator Instructions] Our first question comes from Erik Woodring with Morgan Stanley.
Erik Woodring: Super, thank you guys for taking my question. And good morning. So good to see the uptick in impressions and improvement in utilization, both in 2Q and now some of this early data that you're pointing to in 3Q, maybe just based on your investor conversations, and I need kind of telemetry data that you have any way that you can kind of gauge where you think average utilization might be today. And how long that -- does that mean your customers can continue to sweat their assets before they really start to expand capacity? Would love if you could just double click on that, and then have a follow up. Thank you so much.
Ronen Samuel: Thank you, Erik. Good morning to you as well. This is excellent question. It really depends on the type of segments we are looking into. Okay. So when we're talking about a utilization and underutilized mainly, we refer to our customers in the customized design, where we saw a huge peak during 2020, the second half of 2020-21. And then they invested a lot in many new systems. And they saw the downside at 2022. What we see in Q2, and we saw it already in Q1, we saw them increasing volume, some of them actually going into double digit growth. Across our installed base, we see double digit growth, not only in the strategic account, but across all our installed base. And we see it also in the supplies revenues. Overall, we see good improvement on the utilization. However, we will need to wait for the peak season. And to see that they're getting into high utilization in order for them to reach to a point that they need to invest in additional capacity. We assume that those key customers on the customize design will get into the cycle only next year, after the peak season after there's a better visibility. Currently, the trends of supplies continue to be very positive, across those type of customers. On the other hand, we see customers that are in different market segments. If it's in the DPF, direct- to-fabric, or if it's in replacement of the screen market, then we see massive growth in specific customers across US, EMEA and Asia Pacific. We see them adopting the MAX technology. If it Atlas MAX in the future, we will see it also on the Apollo, we see them growing very rapidly. And actually we can start to see them buying additional systems and going. So as I mentioned depends on different end market. But overall we see a very positive trend.
Erik Woodring: Now that's super helpful. Thank you, Ronen for that color and kind of that bifurcation between DTF and in DTG. The second question I just want to pick your brain on was in your prepared remarks, and in the press release or presentation you mentioned a strong pipeline for 2024 and beyond post ITMA. Can you maybe just double click on that comment and talk about some of the devices that saw some of the strongest interest at ITMA, any new trends that emerge that you think are important for all of us to think about. And then any kind of advice or guidance that you could provide us in terms of how to think about the timing of revenue recognition for any of those new products that are now in your pipeline. And that's it for me. Thanks so much.
Ronen Samuel: Yes, so thank you, Erik. So that's really for us to fulfill the impression we've made, it was incredible successful event for Kornit. We saw first of all from the market trends we saw all the market trends that we were talking for is really happening. Customers and visitors that came to our booth were talking about how do they move into on-demand manufacturing, on- shore moving to production, on-shore new shore sustainability becoming a big issue for the brands and retailers. And they're all looking for pigments solution. And by far we have the best pigment solution. We met with hundreds of visitors, if it's brands, retailers, customer prospects, different partners. And the excitement of the solutions that we have shown on ITMA was remarkable. People were amazed by the MAX technology. And the MAX technology is now the new standard, the new benchmark in the industry, everybody's talking about it. And it's taking a deeply into the screen market into the replacement market, which is a totally new market that we never played that before. The Atlas MAX plus with the additional capability of additional productivity. The Poly set, XDi really opened for us not only additional capacity within our customer but new market entries. For but ITMA was very successful event for our Atlas MAX Poly. Atlas MAX Poly is gaining momentum within retailers, sports retailers and sports brands. We see it both in the professional sport but also in the athleisure market. We close quite a few orders of the MAX Poly, and we have a very strong pipeline moving forward into H2 and 2024. The Apollo was unbelievable success was running around the clock, people were amazed for the first time they can see a system that running at 400 garments and our full productivity with one operator. This is a breakthrough for this industry based on MAX technology. We got multiple orders for the Apollo. As I mentioned, we already running the beta and installing the second one the feedbacks are great. This will position us deeply into the screen market. And we expect substantial growth on the Apollo next year. The recognition of the units that we are going to -- that we install and we're going to install this year will happen only in Q1. Presto, Presto MAX , with the new ink, which focus on the black, dark black ability to print on dark fabric with white ink opened for us for the first time really the fashion market but also the home decor. But more than that, for the first time we are talking and we had a very strong funnel and opportunities within different hubs of textile market in the world. If it's in India, if it's in Turkey, if it's in Brazil, Mexico, we have a very strong pipeline going there a lot of excitement. It was the one of the hits of this event. Of course, we show that there's so much dryers, the Kornit ink overall great feedback on our solution. And this show, really show us that focusing on customized design now Kornit switch gears on focusing on the replacement market both in the direct-to-fabric going up to the replacement which is a massive market, but also in the direct-to-garment which is a very big opportunity for us. We collected more than 1000 leads during the show. Also then we'll really identify hundreds of opportunities real opportunity, we qualified, we follow up with those kinds of customer hundreds of opportunities. We also got very nice orders and NOIs, out of those orders and NOIs, close to 50% of them already converted to PO or in the place to be converted very, very soon to PO. So 50%, we never seen such a high conversion. Actually from all the deals that we got doing in the LOI, 60% are from new customer and when we look at the opportunities that we have is more than 90% are net new customer which opened for us massive market opportunity moving forward. Overall, when we look at the show, we show there that one word is leadership, Kornit show, we are the leader of this industry and all the eyes are looking at Kornit. Now in terms of conversion, some of the deals we converted already in Q2, few of them, few you will see also in Q3 and Q4. But the majority will be only in 2024, throughout the 2024. Now we're in the process of really going one by one. As I mentioned, many of those leads become an opportunity, as many of them are very, very hot. We still facing macroeconomics challenges with the interest rate and people are waiting, some of them are waiting for the big season, some of them just waiting to see what will happen in the interest -- in the market. But they're all excited about our solution. They're all serious about it and we believe that we'll be able to convert many of them into 2024. We believe 2024 will be the year not only by scanning the Apollo and the new Atlas MAX, the new Atlas MAX Plus and the Presto MAX with the new ink. But it's the year that we will show again growth and we will show a profitable growth in 2024.
Operator: Our next question comes from Brian Drab with William Blair.
Brian Drab: Hi, thank you. I'm on two simultaneous calls. So I'm going to try and just ask my questions and then get back in the queue. Can you talk about the upgrade timing particularly at some of the bigger customers going into 2024 upgrade to MAX technology? And also the Presto demand which I know is there's a ton of interest in the Presto at the ITMA show. How many of those did you sell and or sign letters of intent for and what's the timing like of the delivery of some of those orders and revenue generation and sorry, I'm just going to jump back into the queue though. Thank you.
Ronen Samuel: Thank you, Brian. So as regarding to the upgrades, H1 was very strong in terms of implementing upgrades from Atlas to Atlas Max. Some of it with our key customers. Some of it with a smaller customer. We expect Q3 another strong quarter for upgrades across the different regions. We do not expect Q4 to be a strong quarter for upgrade, customers are very busy in Q4. We do not expect to do an upgrade during Q4. So we are very, very busy right now completing all the upgrades as possible with our customers in Q3. We are already aware of customers that expecting to continue the upgrade in Q1 and Q2 next year. Some of them are strategic customer. As for our global strategic customer, we passed all the testing regarding the quality and the productivity and we just expect a waiting to get green light when to start the upgrades on the install base. So those are regarding the upgrades. You will see it again in Q3 and first half of next year. Regarding the Presto, as I mentioned, Presto what we've shown with the quality of the new inks that we present and the ability to print on dark fabric with white ink the XDi, open for us for the first time the replacement market. Now let me explain what is the replacement market. Till now we were selling the Presto mainly for customers that were looking for really short runs, printing all kinds of could be fashion garments so far and even on the cost of, for the first time, we are now dealing with massive textile manufacturers in major hubs around the world that looking to transform the business to most sustainable on demand, but not for short runs really for mainstream production, and doing the calculation of the total cost of ownership. The ability to print on almost any fabric without any pretreatment, any post treatment, any washing, any waste of water, fully sustainable, makes a lot of sense to many of them to move now to our Presto solution, Presto MAX solution, we will see a strong Q3 on the Presto, we expect a strong one we expect also a strong Q4. But many of the deals or many of the opportunities that we got it at ITMA and the deals that we signed at ITMA will be implemented only beginning of 2024. But we see a massive opportunity in a growth engine for Kornit for the first time. DTS, direct-to-fabric is the real growth engine for our business.
Operator: Our next question comes from Tavy Rosner from Barclays.
Tavy Rosner: Hi, thanks for taking my question. I wanted to ask about Amaze, broadly speaking how is your relationship going and last quarter, you mentioned that some systems that they ordered haven't been shipped yet. So I was wondering if they didn't ship and were installed? And if there's any update with Amazon potentially upgrading their portfolio to systems like Apollo.
Ronen Samuel: Yes. Yes, so thanks for the question, Tavy. So with our global strategic customer, we have a very, very close relationship. And, as I mentioned before, we always working with them on long term plans, field plans. And their business is doing very good. They had a great H1, we continue to see the momentum growing. So when I'm saying momentum is meaning in terms of impressions, number of impressions that is growing without getting into numbers, but strong double digit impressions that is going. As you all recall, last year, they were supposed to open new sites, we sold many systems those sites were delayed. Finally, those sites are ready, we actually in those days, we are installing on both sides, those many, many systems so they will be ready for the peak season for Q4 to run. So we expect a massive growth in terms of impression from our global strategic customer into Q4 and definitely in 2024. As for additional capital investment, it's still within their internal discussion. There is multiple opportunity of capital investment, and different timetables from them. One of them we were talking about upgrading the fleet of Atlas to Atlas MAX, as I mentioned, they already did all the testing. Now they even looking into the Atlas MAX Plus. And potentially, they did all the testing, we pass them and they just need to give us the green light to move ahead. So this is internal decision of this global strategic customers, and we are waiting for it. Another opportunity is really to trade in the old fleet of avalanches and turning them into the MAX technology. If it's the Atlas MAX PLUS or the Apollo, I can tell you that they are very excited about the Apollo. They're looking at the future growth coming from this platform. As we mentioned in previous call, they will be testing the Apollo very, very soon. So they will be able to get up into 2025 with their Apollo. So this is another major opportunity. Of course with this strategic customer, global strategic customer, there are other opportunity if it is with their fashion department or business. And looking into both the direct-to-fabric. We see an opportunity also on the, so much dryers in other areas. So it's a massive opportunity. We are supporting them very closely. We are proud to be to partner with them. And we are proud to see the growth moving forward.
Operator: Our next question comes from James Ricchiuti with Needham & Company.
Unidentified Analyst: Hi, good morning. This is actually Chris going on for Jim, thank you for taking the questions. Late in June, you announced the Amaze deal. And I was just wondering if you could elaborate on that deal. Whether it entails incremental units or is largely leveraging the existing fulfiller network. And what you see in terms of additional enterprise scale prospects for Kornit? Thank you very much.
Ronen Samuel: Yes, thank you for the question. So it's an interesting deal. But it's another proof point for the direction that the industry is taking. We see massive opportunities with digital platform, platform like Canva, like Wix, and we announced with the Amaze, what Amaze was important that they chose not only Kornit as the platform, but they chose an Atlas MAX is the only platform that will print the decoration in the garment. So this is a very, very important message. As for the businesses just starting, we already connected them with few of the global fulfillment network, I can tell you that one of them already ordered a few systems because of this connection in North America, which is another testament to the value of connecting digital platform and demand generation to our customers that buying system from us. So we expect and we believe that Amaze will grow, has a big year potential not only in the US, but in Europe and Asia Pacific. And we support them like we support other digital platform like we supporting brands and retailers. And the nice thing that we're connecting it to our customers to our install base, buying more systems and more instrument.
Operator: Our next question comes from Derek Palm with Craig Hallum.
Derek Palm: Yes, thanks, everyone. Thanks for taking the question. I guess just starting off, it seems like the implied second half outlook in terms of revenue is a little bit lower relative to where we were three months ago. So I'm just kind of curious, what's changed, how much of maybe some activity that you thought would have landed this year and got pushed into 2024. And then just as you sort of look at other ways to convert customers, I'm curious if you can give us a little bit more color on sort of financing alternatives, it sounds like you've maybe opened up that option? And I'm just curious if you think that can be a big driver of conversions going forward.
Ronen Samuel: Yes, so thank you for the question. If you remember that we were talking about the visibility that we have for H2. And we always said that we have kind of 70% visibility which coming from the supplies to ink and from the services and actually, as of today, the ink and the consumable is actually trending better than what we expected. And it's growing faster, which is a great method because it showed the health of our customers and show that they are -- they will need more system in the future. We also trending better on the service system, services revenues growing faster and also gross margin looks very, very nice there as well and trending in a very positive way. The place that we are below what we expected in terms of total revenue is systems. Now on system side, let's look at it from two angles. One, in terms of finally we have really line of sight for pipeline as before ITMA, we actually were almost blind how H2 will look like. Today, we have a very clear line of sight for H2 and beyond. We have the pipeline for 2024, which we know is who we're dealing and we're very, very clear all the pipeline for the second half of this year. Some of the pipelines we wanted to convert after ITMA, we understand now that it will take longer, and it will take us to 2024 mainly due to the macroeconomics. Customers looking for financing, some of them prefer to wait on the fence before they're jumping in. Some of them prefer to wait for the peak season and taking decision only after the peak season. So this is the reason why we are saying H2 in terms of system will be still a bit lower than what we wanted it to be However, the good news is that we took measures in advance not only the supplies, gross margin and the gross revenue and gross margin both for supplies and services looks good. But we took measurements on the OpEx and we are going to reach a breakeven on an adjusted EBITDA basis. And we're going to report breakeven on adjusted EBITDA basis in Q4. We feel very comfortable about it. As for 2024, as I mentioned before, we are aiming for a profitable yield that we will grow versus 2023.
Derek Palm: And just to begin, yes, thanks for that was very helpful, detailed answer. And just to be clear on Q4, specifically, I think you had mention approaching breakeven on a revenue run rate that's now towards the mid-60s versus 70 previously, so are you effectively guiding revenue in that sort of mid-60s range for Q4, just want to confirm that.
Ronen Samuel: So we are guiding only for Q3. We are not guiding for Q4. We are saying that we can beat both and reaching, approaching breakeven in the mid-60s with a OpEx in the low to mid-30s. This is what we believe that we can do. We are not guiding for that. But this is kind of indication where we see right now the business.
Operator: Our last question comes from the line of Mr. Chris Moore from CJS Securities.
Chris Moore: Hey guys, thanks for taking the questions too. So, it sounds like the ITMA conversion rate, LOI to purchase orders was quite high getting better. Is there any way you can size the purchase orders to date?
Ronen Samuel: We are not providing those numbers specifically. What I can tell you that Kornit today after ITMA with the technologies that we brought to the DTG and DTF, direct-to-fabric is a different company, is much more diverse, much stronger than ever before. If you look at Kornit in the past, we were a company that 90% of our revenue came from the DTG, a lot of it from few key customers,0 strategic customer. A lot of it from North America. Today, we are different company, a company that direct-to-fabric becoming a very, very important market and growth market. Within the DTG it's not only the customized design, we are getting to the replacement market which is much-much bigger and many of those deals now are going there mainly with us of course with the Apollo and Atlas MAX. We are entering two new geographies, if it is India, China is growing, Mexico, Turkey, Morocco, and many-many other hubs that we never been able to get there. Because customized design was not relevant and replacement market is very relevant for them and each one of them is huge. We are getting to many, many new key customers, for TG customer, the deal that I mentioned in India, In India it is one of the largest textile manufacturers, and potential to buy many, many systems only with these customers, and definitely many other will follow. In China, we just installed in Q2, DTS and totally new application, I don't want to get right now to the application, would like to keep it confidential. But this is totally new application very exciting one, with potential to 10s of units at only discussed with Amaze, massive, massive customers, totally new opportunity, new market and new applications that we never been there before. Other than that, we can see the growth coming from retailers, few retailers that we are working with them are growing on a quarterly basis, both in impression and both in buying more systems, we can see the engagement with the brands, totally different level of engagement, brands need to move to on-demand production. On-show production, sustainability becoming critical for those brands. And we have a high level engagement with different tiers within the brands. Another market that we were talking about it for a few years, but finally is growing is the sports market with now with the Atlas Poly, and we see it also with the Presto MAX getting to this market is a big opportunity. And we're starting to get orders and the pipeline looks great. Another market is the home décor with WIN DTS, that really now is picking up so Kornit today is in a different space. And the future starts now for Kornit. We promise to the market as we are going to be approaching breakeven 2023 was a year of transition for Kornit moving from H1 to H2, delivering all the products that we delivering to ITMA bringing the business back into breakeven on adjusted EBITDA basis into Q4 and 2025 will be the year that Kornit will be back to profitable growth.
Chris Moore: Alright, thank you for that Ronen.
Ronen Samuel: 2024 yes. 2024 we will be there to take Kornit will be back to profitable growth. If I mentioned 2025 is a mistake.
Operator: Mr. Backman, we have no further questions at this time.
Andrew Backman: Great, thank you so much, Lotyam. And thank you all for joining us today. As always, if you just have any follow up questions, please feel free to reach out directly. So, Tony, will you please close the call? Thank you so much.
Operator: Thank you. This does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation. And have a great day.